Operator: Good morning, ladies and gentlemen, and welcome to the Novonesis Conference Call regarding the first half 2025 financial results as well as the 2030 growth strategy. My name is Josef, the Chorus Call operator. [Operator Instructions] This conference will be recorded. [Operator Instructions] This conference must not be recorded for publication or for broadcast. At this time, it's my pleasure to hand over to Tobias Cornelius Bjorklund. Please go ahead.
Tobias Cornelius Bjorklund: Thank you, operator, and welcome, everyone, to the Novonesis conference call, both for the first half of '25 and also including the presentation of the 2030 strategy and financial targets. In this call, our CEO, Ester Baiget; and our CFO, Rainer Lehmann, will review our performance for the first half of the year as well as the outlook for 2025. Attending today's call, we have the full executive leadership team, Henrik Joerck Nielsen, EVP of Human Health Biosolutions; Andrew Taylor, EVP of Food & Health Biosolutions; Tina Fano, EVP of Planetary Health Biosolutions; Claus Crone Fuglsang, Chief Scientific Officer; Anders Lund, Chief Operating Officer; and Morten Rasmussen, EVP of People and Stakeholder Relations. The conference call lasts for about 1 hour and 40 minutes. We will start by going through the performance for the first half of 2025, and then our full executive leadership team will take you through our 2030 growth strategy. The presentation will last for approximately 1 hour, and we will then open up for Q&A after the full presentation. Now please change to the next slide. As usual, I would like to remind you that the information presented during the call is unaudited and that management may make forward-looking statements. These statements are based on current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in any forward-looking statement. With that, I will now hand you over to our CEO, Ester Baiget. Ester, please.
Ester Baiget: Thank you, Tobias, and welcome, everyone. Thank you for joining us this morning. Let's start by looking into the first half year performance. Please turn to Slide #3. We delivered organic sales growth of 9% in the first half of the year. Volumes increased by some 8% and prices were up by around 1%. In the second quarter, organic sales growth was strong and broad-based at 8%, with pricing also around 1%. Emerging markets were particularly strong at 12% growth and developed markets were up by 8%. Sales synergies are well on track and contributed close to 1 percentage point and cost synergies are now at 100% run rate, 1 year ahead of time. We launched 9 new biosolutions in the quarter, predominantly in Food, and Agricultural, Energy & Tech. The adjusted EBITDA margin for the first half of the year was 37.4%, an increase of 2.1 percentage points compared to last year. This is including the impact of weaker currencies. The Feed Enzymes Alliance acquisition closed on June 2, and we are working actively on the integration. We narrow our guidance for the full year for organic sales growth to 6% to 8% from previously 5% to 8%. Our guidance on the adjusted EBITDA margin is maintained at 37% to 38% despite the significant negative impact from currencies. Since we last spoke, we combined the 2 VP areas of Human Health Biosolutions and Strategy and Integration under the leadership of Henrik. Henrik has a strong strategic and business acumen and a background spanning R&D and commercial leadership within pharmaceuticals, nutrition and health. These qualities make him an excellent profile to further develop Novonesis Human Health business. I would also like to take this opportunity to thank Amy, who stepped down as the EVP for Human Health Biosolutions and left the company just before the summer. We wish Amy all the best as she purses a new chapter in her life. We're also very excited to welcome Andrew Taylor to the executive leadership team as EVP of our Food and Beverage businesses. Andrew brings a unique profile with the food industry knowledge, strong commercial expertise and a proven history of driving transformational change and growth. He's here in the room, and I would like to pass the word. Andrew?
Andrew Taylor: Thank you, Ester, for the warm welcome. I'm truly excited to be here and to join the team at Novonesis. I look forward to building on the company's strong foundation and working with the team to drive growth, innovation and value for our customers. I'm confident that together, we can take our Food and Beverage business to the next level. Thank you.
Ester Baiget: Thank you, Andrew. With this, let us now look at the divisional performance in more detail, starting with Food & Health Biosolutions. Please turn to Slide #4. The Food & Health Biosolutions division delivered 10% organic sales growth in the first half of the year, and adjusted EBITDA margin was 36.1%, an increase of 2.1 percentage points. In the quarter, organic sales growth was 9%. For 2025, we continue to expect this division to deliver organic sales growth within the same range as for the group with relatively stronger growth in Human Health. Please turn to Slide #5. Thank you. Food & Beverages delivered 10% organic sales growth in the first half, and 8% in the quarter. Growth was mainly driven by volume, where pricing contributed positively in line with the group level. Growth was strong and broad-based across geographies and industries. Growth in dairy was anchored across all regions and was driven by both fresh dairy and cheese. Growth was supported by a positive development in underlying markets, upselling and a strong customer adoption of innovation. In fresh dairy, we continue to see increasing demand for our tailored solutions in the high protein space as well as in bioprotection. Cheese is benefiting from favorable end markets, and we see good momentum in conversions and adoption of solutions for productivity improvements. Baking and Meat delivered strong performance driven by increased penetration and innovation. For the mining industries in Food & Beverages, the strong development was led by plant-based solutions, while Beverages segment was softer, mainly due to lower end market volumes. Synergies contributed to growth and in line with expectations, supported by increased commercial scale across Food and Beverages. On the innovation front, we launched 5 new products in the quarter, making it 8 in total for the first half. Highlights include a new solution for plant-based beverages that enhances taste and texture while improving the protein content, addressing the growing demand for plant-based high-protein products. Also in dairy, we continue to see solid traction for solutions driving productivity and process improvements. In Baking, we launched an enzyme helping bakers to cut up to 50% added sugar and produce more cost-effective baked goods. Growth in 2025 in Food & Beverages is expected to be broad-based, including a positive impact from synergies. Momentum is expected to continue to be strong and will be impacted by the exit from certain countries from legacy Chr. Hansen businesses. The exit of those countries is expected to impact full year organic sales growth in Food & Beverages by around 3 percentage points. Please turn to Slide #6. Thank you. Human Health delivered 12% organic sales growth in the first half of the year and 11% in the second quarter. Again, growth was mainly volume driven. The release of deferred revenue contribute around 1 percentage point to the growth for both periods. The development was driven by strong performance in dietary supplements across regions, led by probiotic solutions for gastrointestinal health. Performance in Advanced Health & Nutrition was driven by Advanced Protein Solutions as we continue to scale the supply to our anchor customer. Solutions for Early Life Nutrition supported growth, including HMO. Synergies contributed positively to growth and in line with expectations. For 2025, growth in Human Health will be driven by a continued positive momentum in dietary supplements, supported by a positive impact from synergies and by Advanced Health & Nutrition, including the ramp-up in sales of Advanced Protein Solutions to our anchor customers. Deferred revenue is expected to contribute around 1 percentage point to the growth for the sales area. The exit of certain countries is expected to impact full year organic sales growth in Human Health by around 1 percentage point. Please turn to Slide #7. Thank you. Planetary Health Biosolutions delivered 9% organic sales growth in the first half of the year. The adjusted EBITDA margin was 38.4%, an increase of 2.1 percentage points in the second quarter. Organic sales growth was at 7%. For 2025, we expect this division to deliver organic sales growth within the same range as for the group with relatively stronger growth in Agricultural, Energy & Tech. If you could please turn to Slide #8 for comments in Household Care. Household Care delivered 8% organic sales growth in the first half of the year and 4% in the quarter. Growth was mainly volume driven with a positive contribution from price and on par with the group level. Emerging markets contributed significantly to the strong performance, growth in laundry and dish, supported by solid growth in developed markets. Performance was driven by increased market penetration as well as innovation. Growth in the second quarter was, as expected, negatively impacted by timing effects from early orders benefiting the first quarter. After a very strong 2024 and a start to 2025, we expect a normalization in Household Care in the second half of the year. Key growth drivers will still be innovation and increased penetration as well as continued support from pricing and industry volume growth at a more normalized level. Please turn to Slide #9. Thank you. Agricultural, Energy & Tech delivered organic sales growth of 9% in the first half and 8% in the second quarter. This was driven by a strong growth in Energy and Tech and supported by Agricultural. Growth was driven mainly by volume. Pricing contributed positively and in line with the group. Growth in Energy was led by Latin America and India, driven by increased ethanol production capacity and supported by growth in Europe, including a ramp-up of second-generation ethanol. Growth in North America was also supportive. Additionally, biodiesel contributed positively across the geographies. The strong performance in Tech was driven by bioprocessing, led by increased demand for solutions for biopharma production, somewhat positively impacted by timing. Growth in Agricultural was driven by both, animal and plant. On the innovation front, we launched 4 new products in Q2, including a solution for biological crop protection for soy and for corn. This launch is a good synergy example, combining innovation and seed treatment expertise. For 2025, growth in Agricultural, Energy & Tech is expected across all industries, supported by a positive impact from synergies. Growth is expected to be led by Energy. And now let me hand over to Rainer for a review on the financials and the outlook for 2025. Rainer, please.
Rainer Lehmann: Thank you, Ester, and also good morning, everyone, and welcome to today's call from my side. Let's turn to Slide #10. Please note that for the year-on-year comparison, figures presented today, we have used pro forma figures as our baseline for the first half year numbers. The corresponding IFRS-based figures are available in the statement released this morning. Q2 year-on-year figures are IFRS based and fully comparable. In H1, sales grew 9% organically and 8% in reported euro as currency provided a good 1 percentage point headwind. In the second quarter, sales grew by 8% organically and by 4% in euro. As you can see, currencies had a significant negative impact on euro sales in Q2. When we completed the combination, we decided to discontinue our business in Russia and Belarus, and we've completed that exit. We expect to see the impact from this in the second half of the year as previously communicated. Let's now have a look at our profitability. The adjusted gross margin was 58.7%. This is an improvement of 300 basis points year- on-year. Lower input costs, including the cost of energy as well as economies of scale led to the strong improvement. Productivity improvements, pricing and synergies also had a positive impact, while currencies impacted negatively. The adjusted EBITDA margin was 37.4%. It was 210 basis points higher than the first half of last year and explained by the improvement in gross margin and synergies countered by currency effects and an expected increase in operating expenses. Special items were EUR 37.5 million and primarily consists of transaction costs related to the Feed Enzyme Alliance acquisition. It also includes integration expenses as well as some initial expenses for a new global ERP system related to the combination. The diluted adjusted earnings per share was EUR 0.78, an increase of 22% compared to the first half of last year. If we adjust for the merger-related PPA amortization, the earnings per share was EUR 1, which represented also an increase of 22% compared to the year before. Operating cash flow amounted to EUR 426.5 million in the first half, which is a decrease of EUR 114.2 million compared to last year. Please remember that in last -- in the first half of last year, we received a one-off payment of around EUR 100 million from our anchor customer in Advanced Protein Solutions. Net working capital and CapEx was in line with expectations, resulting in a free cash flow before acquisitions of EUR 307.1 million for the first half of the year compared to EUR 387 million in the first half of last year. With this, let us now turn to Slide #11 to talk about the 2025 outlook. Please note that the outlook is also based on current level of global tariffs and current currency rates. As Ester mentioned, we are lifting the bottom end of the range for the organic sales growth outlook and now expect 6% to 8%. Growth will continue to be driven mainly by volumes and with a similar positive pricing impact across both divisions. Both divisions are still expected to grow within the group outlook range. Sales synergies are still expected to contribute around 1 percentage point to the organic sales growth for the year. For the adjusted EBITDA margin, we still maintain the outlook of 37% to 38%. This includes the expected additional synergies from having achieved the 100% run rate in H1 as well as the expected significant headwinds from currencies as our adjusted EBITDA is fully impacted by currency fluctuations. As a reminder, please note that we show the FX hedging gains and losses as part of the net financial items below the EBIT line, protecting only our net profit. The outlook on adjusted EBITDA margin also now includes the impact from the Feed Enzyme Alliance acquisition. Novonesis Board of Directors has approved an interim dividend to be distributed on August 27 at an amount of DKK 2.25 per share or EUR 0.30. The last trading day with dividend is August 22, 2025. This is part of the intended full year dividend payout ratio between 40% to 60% of our adjusted net profit. To round off and building on the results from the first half of the year, we're in a good place and confident to deliver on the full year outlook. With this, I will hand back to Ester for a wrap-up.
Ester Baiget: Thank you. Thank you, Rainer. As you hear, we continue to deliver on the promises we make. Our focus is both on short- and long- term performance, and we will now take you through our 2030 growth strategy and our long-term financial targets. Please turn to the next slide. First, it's important to say we're driving an evolution, not a revolution. We see the area of biosolutions gaining higher traction with increased penetration, leading to an acceleration of growth. At the same time, we aim for margin expansion and ROIC enhancement through operational leverage while also reinvesting significantly in our future. Let me speak to the exceptional company that we have created to the next slide. It's truly an exciting time for Novonesis, a company that stands at the forefront of biosolutions. We are not just another player in this field. We're leading force shaping the future. What makes us special and sets us apart is that we are a pure player focused on biosolutions. This gives us leverage on our investments. Novonesis is distinctive because we are uniquely positioned to provide what our customers seek for: cutting -edge innovation, close customer relationship and unparalleled operational capabilities. These abilities have secured us leading positions in our markets. Our position is further supported by strong regulatory expertise and intellectual property rights, our ability to cross-fertilize innovations across industries, strategic M&A capabilities, and a highly skilled and motivated workforce. Thanks to our diversified portfolio and our resilient asset footprint, we can navigate a dynamic market with agility and be a reliable partner of growth for our customers, all that while derisking our investments. We are on track to deliver on our targets set for the combination back in December 2022. We promised to deliver 6% to 8% organic sales CAGR and a strong 37% adjusted EBITDA margin by 2025. We have maintained and further increased the high employee engagement, and we're realizing cost and sales synergies according to plan. Actually, we are a bit ahead of plan on the cost side where we are already at 100% run rate. Beyond this, we have developed a robust integration muscle, which we are currently deploying in our recent acquisition within Animal Biosolutions. We are well positioned to capture future opportunities when and if the right moment arises. Let me size the opportunity we speak of and why biosolutions is such an exciting space. Please turn to the next slide. Biosolutions represent a powerful alternative to fossil-based products and the answers of the past. Our biodegradable solutions are tailor-made. They are crafted through fermentation and provide answers to consumers' current and future needs. Up to 60% of the physical products driving the global economy could, in principle, be produced biologically. And the technology to achieve this is ready. Today, the biosolutions market is valued at EUR 60 billion, encompassing products like amino acids, vitamins, peptides, enzymes, cultures, yeast, probiotics and fermented proteins. Within this broader market, we operate in a EUR 20 billion addressable segment, but our ambition doesn't stop there. With our innovative solutions, we are steadily expanding the boundaries of the biosolutions market and carving our way into the EUR 1 trillion specialty chemicals and ingredients sector. What makes us -- what makes today a pivotal moment for biosolutions is that we see a converge on transformative advancements in biotechnology. A decade ago, it would take us an entire year in the lab to establish how an amino acid chain falls into a protein structure. Today, with advanced AI, this can be done in just seconds. Fermentation technologies are also progressing, enabling us to produce more efficiently, more sustainably and affordably than ever before. There is a growing demand for biosolutions fueled by the need for healthier lives and healthier planet and economic benefits like energy savings, reduced input costs, better utilization of raw materials and hence, national experience, local job creation and a growing population. Customers are pulling for these solutions and many geopolitical strategies are also increasingly prioritizing them. However, we still face a regulatory framework with a paradigm of the past, creating unnecessary roadblocks and slowing down progress on innovation and commercialization. For example, it can take over 5 years to register a molecule for high-value nutritional infant formula or novel protein in the EU. While in Singapore, you can accomplish this in just 6 months. And let me, on the next slide, explain how we define our strategy and how we will capture the full potential of biosolutions. Our 2030 growth strategy is built on 3 key pillars. We enhance and nurture what makes us unique. This means continued investment in our core strengths, including innovation, commercial application centers, more feet on the ground and further expansion of our resilient production capabilities. We grow where we are already strong. Our core markets continue to hold substantial growth opportunities with significant innovation headroom. Our stronger toolbox and improved footprint allow us to be more relevant for our customers with our proven formula for growth. And then we accelerate and expand the pie for biosolutions. We aim to broaden the biosolutions market itself, setting the foundation for new opportunities and addressing challenges with new or complementary biosolutions. We have set realistic and strong targets by 2030, an organic sales CAGR of 6% to 9%, around 39% adjusted EBITDA margin and around 16% adjusted ROIC, excluding goodwill. And this includes significant OpEx and CapEx reinvestments to enable and secure strong growth also beyond the 2030 period. These targets reflect our confidence in the strength of who we are and our ability to execute on the strategy. On the next slide, we'll share more on how we invest and we enhance our distinctive position. We will continue to invest and nurture what makes us unique: our innovation leadership, our world-class production capabilities and our deep understanding of customer needs. We clearly see the benefit of being close to our customers, enabling local needs and tailored formulations in our application centers regionally, and we will continue to invest behind it. We will further invest in our innovation leadership. We see the needs for cleaner label, healthier foods, energy savings, less chemical, high efficiencies. And we apply the latest technologies, enabling us to provide answers to our customer needs and be a preferred supplier for our customers. And we'll continue to invest in our resilient world-class production, bringing efficient biosolutions to the market. We operate globally, and we invest regionally in a network rationale allowing for reliable supply to markets and customers. Please move to the next slide, where we will speak about the most important pillar, Grow. We play in the most attractive part of the biosolutions market, and we outgrow the markets that we play in. You might recognize these growth metrics from our Capital Markets Day presentation last year. We will continue to see growth from growing with market through value-based pricing and with upselling and penetration as key drivers with volume as a main driver of growth. Our solutions make up a small part of the total cost of goods sold of our customers and yet are a big enabler of their value and their performance. With a stronger portfolio and more boots on the ground, we are now better equipped to drive penetration. Also upselling and adjacencies, we are better positioned with our unique technology toolbox to drive innovation and deliver more value to our customers. This can both be the next generation of yield improvements or adjacent solutions such as bioprotection for food applications. This leads us to the 6% to 9% organic sales CAGR towards 2030, with upside from potential additional contributions from explorative growth opportunities, which we'll talk soon. Please turn to the next slide on how we accelerate the biosolutions market. When looking at acceleration in the biosolutions market, we are aiming to find attractive prospects that have great potential. We will do this through prioritized investments and expanding our technology platform to become an even stronger partner for our customers. We explore new areas that we believe can bring future substantial value to Novonesis, such as processing aids to the biopharma industry, where we have been working over the last years, and we're seeing good traction. Explorative areas come also with higher risk, and we operate in a venture model -- moat model, where we only continue to invest when we reach milestones on both the technology and the market readiness is there, and we see a viable path forward. We have talked about some of these areas before, like carbon capture and sustainable plastics. Other areas are newer such as biopharma processing aids, future fuels and chemicals and specialized nutrition proteins, where we are increasing our investments as we see progress on both technology and market readiness. On the next slide, we will briefly talk about these 3 -- about 3 of these opportunities. It's important to mention that the clear majority of the potential from these explorative opportunities lies beyond the strategy period. In the processing aids for biopharma space, we see large potential, and we are excited about the progress we're making so far. Within future fuels and chemicals, we see a path to significantly expand our addressable market beyond the current biofuel segment, both by decarbonizing transport such as aviation via SAF or by replacing the building blocks of traditional chemicals. In Specialized Nutrition Proteins, we are building on the advanced precision fermentation platform, and we see interesting developments within both nature identical proteins as well as novel proteins. There is a number of exciting markets such as weight maintenance, where specialized proteins can provide new answers for the consumers. In Medical Nutrition, we are also making good progress on our existing partnership with Arla Food Ingredients with solutions for consumers with genetic disorders. The market potential is there. The demand is there; however, regulation is not there yet where it could be, creating a necessary roadblocks on the penetration of innovation. And Morten will now talk on how we drive change through advocacy. Morten, please.
Morten Enggaard Rasmussen: Thank you, Ester. Please turn to the next slide. One of the critical enablers to accelerate biosolutions globally is advocacy. We believe that accelerating the biosolutions industry requires more than innovation and investment. It demands leadership in shaping the ecosystem around us. We are taking a proactive role in influencing policy and legislation to create an industry and more adequate regulatory environment for biosolutions. This means not only responding to regulatory shifts, but actively engaging and defining these. Through global forums and alliances, we are amplifying our voice and positioning Novonesis as a change agent and thought leader in the space. We are working strategically to drive biosolutions industry forward, and we do so with 4 specific areas in mind. We are amplifying our voice and bringing documentation and proof to the benefits and impact from biosolutions. As identified in a recent report from Amsterdam Data Collective, then with the right policy framework, bioeconomy can create 3x the economic value equaling almost EUR 800 billion and creating 3 million new jobs throughout the value chain by 2035. We are actively working across decision-makers globally. Specifically in Europe, we are collaborating with the World Economic Forum and being an active member and leader of the leaders of European growth and competitiveness. Another example is in the U.S. where we are founding members of American Alliance of Biomanufacturing, and we are actively supporting policymaker shape regulation in Brazil. All examples show how we are working dedicated on ensuring faster access of biosolutions to markets supporting consumers with better products and building economic growth. Before we move into the commercial areas, allow me to state that we are, for the coming strategy period, reconfirming our sustainability strategy of people, planet positive and the sustainability ambition we presented at the Capital Market Day last year. While maintaining our long-term aspiration of gender parity, we have for the strategy period, a target of minimum 40% of the underrepresented gender. We are committed to accelerating the adaptation of biosolutions, and we are making progress. Today, we have a biosolutions industry, which we didn't just a few years back. We are pulling the future forward and making innovations even more available for customers and consumers globally. I hand over to Ester again for a view on the Food & Beverage business.
Ester Baiget: Thank you, Morten. In Food & Beverages, with our unique biosolutions toolbox, we enable a unique match between trends and consumer needs. We do that while also adding benefits to our customers such as yield improvements, life extensions and cost savings. The cost of our solutions in final goods is small, between 1% to 5%, but the value we provide is significant. And we just started that journey. There are plenty of opportunities to further untap value for our customers and consumers. And now with our complementary portfolios together, we're even better equipped to do this. We see an increasing awareness among consumers of health and weight management, and this drives an increasing demand for high- protein products and yogurts. Here, our unique combination of cultures and enzymes allows our customers to deliver high-protein yogurts with a smooth and creamy texture with great taste, and also with cleaner, simpler label. High-protein yogurts are high-value products driving an increased demand for bioprotection to increase shelf life as well as for probiotics for additional health benefits. Across our markets, we continue to see an increasing demand for solutions with reduced sugar and salt content. This is a core part of our current portfolio and innovation agenda as we enable our customers to make nutrients without compromising texture, taste, appearance, nor cost and with a cleaner label. Our strong partnership with customers is based on them on a foundation that we help to drive efficiencies in their operations. For example, by increasing yields and reducing waste, and this goes across all our industries in Food & Beverages and now even stronger with a broader portfolio. Please turn to the next slide. Our proven growth model is strengthening with more people and application centers across regions, we are better positioned to drive penetration. And our broader and deeper biology toolbox is opening new opportunities addressing the growing and emerging needs of the market. Our underlying food and beverages market grow volumes 1% to 2%, with dairy slightly higher and expected 2% to 3%. Additionally, we expect value-based pricing to be a positive contributor. With penetration, a key driver is the emerging market opportunity for fast-evolving nutritional needs from consumers in these markets. We are well positioned to capitalize on those trends with our relevant portfolio and increasingly stronger footprint, giving us substantial opportunity to drive further penetration and build on the good momentum that we already have. Also driving penetration is the good traction on continued conversion in cheese, where we still see a sizable part of the market and converted. Our stronger enzymatic toolbox can further support this journey as new enzyme solutions drive step change in performance and further yield improvements. On upselling and adjacencies, we are better positioned to drive more value for our customers with many opportunities to increase our share of wallet across industries. One area I'm very excited about is our solutions addressing taste and texture across industries such as dairy, baking, beverages and plant-based foods, especially considering developments in the U.S. market with increasing focus on simpler and cleaner labeling. Claus will speak more to how we are removing unwanted ingredients while protecting the texture, the taste profile and the cost. I want to highlight the opportunities to scale the bioprotection platform across industries. We see strong traction across dairy and meat. We have innovation projects in the pipeline to unlock the Baking market. Another area where we see -- where we benefit from a stronger toolbox is on the dairy side streams. Here, with a broader enzyme portfolio, we can now enable customers to unlock additional value on their waste side streams and upsell extracted proteins into higher value segments. And now I'll just hand over to Andrew for some further work from him. Andrew, please.
Andrew Taylor: Thank you, Ester. I'm very impressed with what I've seen so far, and we're truly in a strong position. I'm confident in the future ahead of us and the execution of the growth strategy. Let me pass the word to Henrik to go through the Human Health business.
Henrik Joerck Nielsen:
EVP of Human Health Biosolutions and Strategy & Integration: Thank you, Andrew. Please turn to the next slide. So I'm truly excited to be part of driving the growth of our Human Health business area. We have a strong foundation, and we are well positioned to unlock the many growth opportunities ahead of us. You should know that this is a field that's very close to my heart. I follow the science, innovations and advancements of this space closely over the last decade in my various role in the company, and it's remarkable to see how far we've come. Strong macro and health trends drive growth in this industry. I'm just back from a trip in China, the second largest supplement market in the world after the U.S., and I met customers and business partners, and I saw an incredible pull for health-enhancing supplements and also an increasing demand for proven solutions that are documented with clinical science offering real health impact. We are fully recognized as a leading supplier and innovator of such solutions. In the U.S., the category also increases to grow, and we see trends that preventive health is only getting higher on the consumers' agenda. Consumers are increasingly aware of the importance of health and wellness, and they're willing to invest in preventative solutions. 40% of Americans are buying preventive health solutions today and 36% prefer natural remedies over prescriptions for managing health conditions. There's a growing recognition of the connection between what we eat and the overall health outcomes we experience. The microbiota and gut health is a key component here, and we continue to find new links to health conditions outside the gut. Secondly, we see an increased focus on functionalizations of supplements. This you will know, for example, from protein-enriched products like yogurt and beverages with probiotics. So why Novonesis? Well, there are 3 reasons why we see ourselves as a natural industry leader in this field. First, our unique capabilities, including scale and end-to-end value chain offerings where we can customize supplements into a wide variety of end formats like sachets, blisters and gummies. Second, we are in the forefront of gut health and microbiome understanding, and we know how to link these to preventative health in a scientifically backed way tailored to customer needs. Finally, we have access to a broad and unique toolbox of biosolutions, enabling us to solve these changing market needs. On the next slide, we'll talk about the growth drivers in Human Health. The majority of our Human Health portfolio is within dietary supplements. This includes both ingredients sold to customers for formulations as well as finished format supplements. The remaining falls within our Advanced Health and Nutrition business, which while smaller today, represents one of our most exciting growth opportunities for the future. This is true for both advanced protein solutions as well as for early life nutrition, including HMOs. The Human Health business is poised for attractive market growth. Our Supplement segment is a robust business, and we continue to have high expectations. There are already strong demand trends in the market, both in well-established areas such as immunity and gastrointestinal health, where we continue to see innovation headroom as well as in newer fast-growing areas such as mental health, women's health, infant health, children growth, healthy aging and on the horizon, new areas like weight management. We will focus on unlocking growth by innovation, clinical science and driving consumer and regulatory education and leverage our end-to-end customization engine, I talked to before. Meanwhile, in the Advanced Health & Nutrition segment, we are at the forefront of opening up the significant potential of advanced precision fermentation, including specialized nutrition proteins as well as other emerging technologies, and we're investing behind it. While the market development and timing are harder to predict, we are committed to lead the way together with our partners in the future of Human Health. With this, I will now leave the word to you, Tina, to take us through Household Care.
Tina Sejersgaard Fano: And thank you, Henrik. Please turn to the next slide. Inclusion of biosolution is a key enabler to drive value for our customers within Household Care. And we have done a lot of investment over the last years to drive even more relevance and proximity to customers. We are becoming a stronger partner for more customers, and we enable them to drive better products with strong consumer relevant claims as well as a more efficient operation through reformulations. And our solutions also enable reduced use of chemicals and microplastic compaction as well as energy savings, which is desired both from consumers and customers, boosting also their continued sustainability ambitions. On the next slide, let's look at the growth drivers in Household Care. The recent stronger growth in Household Care has been supported by us capitalizing on exactly these investments, which we have done over the last years. We'll continue this journey, providing us a platform to deliver higher growth relative to the last 10 years average growth in this business. The building blocks of the growth will be the same, as you know, where the underlying detergent volumes will be growing 1% to 2%, where emerging markets will be growing faster than developed markets. And we will also be driving pricing from a value-based perspective. The main area where we see a higher contribution compared to previously is the penetration in emerging markets. We have more application innovations in the toolbox and in the pipeline, driving a better ability to penetrate across regional differences. We also have a stronger footprint with approximately 40% more frontline people, creating stronger relationships with both new and existing customers. We see the value of our commercial investments and activities, and we will continue these investments. We also increased the share of wallet with existing customers through innovations and reformulations where we enable claims and drive better performance, fewer chemicals, lower energy use, higher convenience and compaction and a more bio-based product. At the next slide, we will look at the Agriculture, Energy & Tech business. Across our businesses in Agriculture, Energy & Tech, customers are asking for higher yield, higher performance, more benefit and a sustainability impact. With our unique biology toolbox, we are very well positioned. And as Claus will talk to later, the opportunity space is expanding for what it is we can do. We also now have more technologies that can drive a stronger value proposition in areas such as animal and plant biosolutions. Our solutions are very important for customers as they deliver strategic value on either their production process, such as optimizing yield or securing more value for side stream, enabling new product benefits or for the consumer buying a healthier product without chemical uses. I am just back from a trip to India and several Asian countries earlier this month, and I met a number of customers. And it is fascinating to see the tangible value we support them with through our tailored biosolution. An example is in Korea where enzymatic biodiesel plants are running and more being built. And another example is in India, where farmers embrace the benefits of biosolutions in agriculture for a variety of crops. And last but not least, visiting a cutting-edge detergent factory in India, where biosolutions deliver benefits to people in rural areas. And then on the next slide, let's look at the growth drivers in this very diverse business. Each of the segments in Agriculture, Energy & Tech have a solid growth outlook anchored in our ability to solve pain points with biology. Volume in the end markets, in the final end markets we serve in Agriculture, Energy & Tech are growing at around 1% to 2%. Value-based pricing will continue, and we are confident we can deliver on this. For Agriculture, we see solid growth opportunities driven by our ability to drive yield, enhance performance and reduce chemicals. In animal, a key driver will be to realize the combined potential and growth synergies from the recent Feed Enzyme Alliance acquisition. It is early days and great to see the excitement in the organization and with our customers as well, while confirming the potential over the coming years. Energy will be driven by geographical diversification as starch-based ethanol continue to drive penetration in emerging markets, more specifically Brazil and India. Additionally, we see opportunities for upselling and adjacency expansion such as end market diversification through the protein and oil side stream [ prioritization ] as well as for feedstock diversification in 2D and biodiesel. Also, regulations are increasingly supporting growth as government want to drive economic growth. They want to support local jobs while also seeking for diversified, resilient and sustainable energy sources. Our tech business has some very interesting opportunities to drive growth. One example is the increasing demand within oils and fats, where our degumming technologies is a key unlock for customers for healthier products and more yield. All in all, I feel confident about the growth journey ahead of us for the Planetary Health business. And then I'll leave the word to Claus for a walk-through on how we approach innovation. Claus, please?
Claus Crone Fuglsang: Thank you, Tina. Please turn to the next slide. Novonesis remains a leading innovator within biosolutions, and we are now better set from both an innovation and R&D perspective to win in the future. Our success is driven by talented, innovative people across the globe and 3 core capabilities: deep customer understanding, innovation leadership and scalable production. We translate unmet customer needs into biological challenges. Then we engineer tailored biological solutions and ensure they are scalable and in formats that are application-ready. We create customer value by staying ahead with cutting-edge technology platforms. For example, our advanced analytics and screening tools enable innovation across our application areas. And an example in strengthening customer closeness is in our dairy application technology center that allows us to replicate customer processes, multiply experimental setup at relevant scale and co- create solutions with our customers and drive next level dairy innovation. In discovery, we apply AI on top of our proprietary library of more than 100,000 strains and 10 million-plus unique enzyme structures, enhancing innovation impact and R&D returns. In Household Care, advanced AI-based protein engineering has reduced engineering cycle from months to weeks and, simultaneously, allowed to cover more customer formats in the process, not only reducing development time lines, but actually ensuring viability for completely novel technologies to the market, such as our recent launches for freshness and whiteness. Our strain engineering technologies enable precise adaptation of microbial solutions and secure optimization of enzyme productivity for cost-efficient scaling. We also apply advanced engineering and large data-driven learning models in our design and development of novel yeast in our biofuels business, allowing us to continuously break new ground and deliver continued innovation in this field. These are just some of the examples of the advancements in application understanding and technology that will further unlock innovation potential across our core business. Let's turn to the next slide on prioritization and R&D impact. We are committed to maintain our position as a leading biosolutions partner. Around 80% of our R&D investments target new product development, driving both growth and profitability. There are 2 key priorities that drive our approach here. First, maintain a strong core pipeline. We continue to see significant room for innovation and our track record speaks for itself, with more than 30 new product launches every year, a pace we aim to sustain throughout 2030. This ensures we stay ahead in meeting market and customer needs while also investing in more transformational solutions. Second, a structured and disciplined approach to the innovation cycle. In collaboration with our commercial teams, we constantly evaluate both core and exploratory opportunities based on market potential, market readiness and technical feasibility. This disciplined approach ensures business and scientific alignment, supported by regional insights and direct customer engagement. Our approach maximizes the R&D impact from a growth and risk perspective. It drives a meaningful contribution to both growth and profitability with more than 20% of total sales coming from innovation less than 5 years old. This reflects our recent combination of portfolios and a longer sales cycle in markets such as Food & beverage. To ensure our leadership, we work diligently with patent protection of our innovation, as Ester explained, it can be both on the core as well as for the specific applications. Looking ahead, our commitment to innovation remains unwavering, and we expect increasing returns from faster development, impactful innovation and even more efficient production of our solutions. We will continue to unlock new possibilities and invest in novel technologies and cost optimization to maintain our competitiveness. Turn to the next slide for how we extend our innovation leadership. Technology is a key enabler of novel solutions to drive more value from our strong customer centricity. On the technology investments, we balance short-term advancements to unlock growth in the core and long-term investments in breakthrough technologies. For example, in the food texture area, we seek to understand this down to the natural materials at a molecule level. And we tailor enzymes and culture solutions to work with the natural ingredients, the proteins, the carbohydrates, the fibers and the food to match consumer preferences without additives. This approach powers impactful new innovations like the high-protein yogurt and oat-based barista beverages. AI is transforming our discovery processes, enabling in silico design of enzymes and microbes that match application needs with speed and precision. Still, the candidates are validated through advanced screening and analytics, creating the proprietary data that fuels further AI development before taking the solutions to scale. To future-proof our leadership, we invest and collaborate in breakthrough technologies like cell-free synthesis, which enables direct biosynthesis of specialty molecules without relying on living cells. This opens possibilities for sustainable aviation fuels and, for example, novel probiotics. Binder technologies is another area offer new functionality for health and bio application, for example, inhibiting proliferation of harmful microbes and enabling biocontrol. By combining immediate innovation with long-term vision, Novonesis remains at the forefront of biosolutions, delivering customer value today and shaping transformative breakthroughs for tomorrow. Let me now give the word to Anders for a view on our production and operational excellence.
Anders Lund: Thank you, Claus. Please turn to the next slide. I'm pleased to expand more on the third of our core capabilities, our production and scale. We are the largest producer of biosolutions in the world, including enzymes, microbes, cultures and probiotics. Our production scale, combined with our multipurpose facilities drives resilience in our supply, which is increasingly important to our customers. I also want to highlight our proven ability to optimize and deliver significant productivity gains year-over-year. The world around us continues to evolve and so do we. We see an increasing demand for our solutions, both in developed and emerging markets, and we see changes in workforce dynamics and increasing geopolitical uncertainties. These factors are shaping our strategy, especially when it comes to planning our global footprint and determining where to expand capacity. We built resilience by being both global and local in our production setup. Our flexible global production is creating efficiencies, but also closeness to regional customers, enabling us to deliver and respond swiftly to customer needs. In order to continue the development of our operations capabilities, we have defined a number of strategic cornerstones. As part of our capacity for growth program, we are investing to address the increasing global demand. These investments are located where we're already present, and they are part of our global multipurpose production setup. Within customer at the core, we balance the right product complexity with strong delivery reliability. And we are determined to drive sustainability -- leadership and sustainability as we continue our commitments to decouple our emissions from our growth. We also have a strong focus on decoupling cost from growth and allow me to expand more on this on the next slide. Our decoupling cost from growth program is a key driver of our margin expansion through 2030, and it evolves around the key areas, productivity as well as optimization and synergy. We have a proven track record when it comes to yield improvements, and we are committed to continuing this journey. Now we are amplifying these efforts by leveraging digital tools and automation to create what we call the factory of the future. We continue to invest in new fermentation and recovery technologies as well as automation throughout the supply chain. At the same time, we've already started to unlock the benefits of our greater scale, particularly through cost efficiencies in procurement. I'm pleased about the progress we have already made in the combined operations platform, but even more excited about what lies ahead of us. With that, I'll pass it on to Rainer for the financials. Please turn to the next slide.
Rainer Lehmann: Thank you, Anders. Let's now have a look at how all of this is reflected in our financial targets, starting with the revenue. Our ambition is to deliver until 2030 an organic sales growth in the range of 6% to 9% CAGR. This is higher than what we have delivered in the past and the result of our stronger capabilities that, coupled with the increasing pull from the market, put us in a good position. Growth will mainly come from volumes, including sales synergies. The sales synergies include the EUR 200 million run rate we wanted to achieve in 2027, which I'm confident we can deliver on. Beyond that, we start to see a growing impact from new pipeline launches, adding to growth in the latter part of the strategy period. We're also expecting pricing to continue to be a net growth driver in all sales areas, contributing 1% to 2% to the organic sales growth CAGR on group level. Let me draw your attention to the arrows you see in the 4 sales area boxes on the top right side. These symbolize the relative growth contribution compared to the 6% to 9% group CAGR. As you can see, all sales areas are expected to contribute to growth with Food & Beverage, and Agriculture, Energy & Tech growing in line with the group, Household Care slightly below, and Human Health above the group range. We also expect the relative growth to be higher in emerging markets than in developed markets as we continue to capitalize on our stronger global footprint and investments into regional application centers to drive innovation and penetration. The profile of our growth will give us an increasingly more balanced revenue composition, both from an industry as well as regional point of view. Let's move on to the next slide to have a look at our margin ambition. Our ambition is to continue to expand the adjusted EBITDA margin to around 39%. Besides the leverage from higher sales growth, we have solid structural levers in place to drive this margin expansion. The productivity and optimization opportunities that Anders talked about will drive this expansion. In addition, the aforementioned pricing contribution is also having a positive effect on the margin development. The benefit from these drivers will be partly offset by an expected increase in growth investments as we see the opportunity space for biosolutions continues to open up. This can be both to drive further growth in the core as well as pursuing growth opportunities of a more explorative nature, which would then have a sales contribution beyond the 2030 strategy period. Let me also point out that the target of 39% is based on the 2025 guidance, which absorbs the strong currency headwind of close to 1 percentage points we are currently experiencing. Let's move on to the next slide and talk about our new return on invested capital target. We are committed to deliver a strong return on invested capital, and we will do that while making at the same time the required investments to support our growth journey and nonfinancial goals until 2030 and beyond. We, therefore, expect CapEx to be elevated over the coming years compared to the 2025 level before the ratio normalizes to a high single-digit level in 2030. Despite the increased CapEx, we expect strong cash flow generation driven by the higher profitability and improvement in net working capital. We have set a target of doubling the adjusted return on invested capital, excluding goodwill, from the level of 2024, which is heavily impacted by the purchase price allocation from the combination. While the amortization profile will contribute to the improvement, the operational levers like higher asset utilization and increase in profitability will drive the improvement towards 2030. I would like to come to my last slide now, reconfirming our capital allocation principles. Please turn to the next slide. Let me say that we will only deploy capital where it generates the most value for our shareholders, and that would be in the following order: First, organic sales growth has the highest priority. Second, M&A. We'll continue to look for complementary M&A. And here, we apply a disciplined approach with well-defined selection criteria. Our approach is focused on portfolio expansion, technology and market access unlocks at a fair valuation. Third, returning excess cash. Besides the ordinary dividend, which we are committed to, potential excess cash will be distributed to shareholders to stay around our target level of approximately 1.5x net debt EBITDA. As you can see, we have very clear priorities, and we remain a pure biosolutions player and are dedicated to not sacrifice growth or innovation to drive short-term margin optimization or maintain our leverage. We are in this for the long run, and I deeply believe that this is only the beginning of what this company can achieve over the coming years and decades. With this, I would like to give the word back to Ester for some final remarks on the next slide. Ester?
Ester Baiget: Thank you very much, Rainer. I would like to round off by reminding us that Novonesis is already present today in your everyday life, touching more than half of the world population with our sustainable biosolutions across a broad range of different industries. And this is only the beginning. As we grow, we create more long-term value and impact for our shareholders, for our customers, for the people and for the planet. And with that, please turn to the last slide where we are now ready to open the Q&A. Operator, please?
Operator: [Operator Instructions] Our first question comes from Soren Samsoe from SEB.
Soren Samsoe: I had a couple of questions here. First of all, you said that you -- or we could see you had a strong first half in the dairy business. Maybe you can quantify that a bit. And should we expect that strong growth also in the second half? And how do you see this longer term? Is this just a short-term fluctuation? Or you see this as a long-term structural change? That's the first question. Second question is more on your EBITDA margin guidance for '25. What would that be if you had seen flat currencies this year? And the same question for your EBITDA margin target for 2030. What would that be if you had seen a flat currency development this year?
Ester Baiget: Thank you, Soren. I will answer your first question and let to Rainer on the second one. I really like that one in your question, you're implying a hidden underlying expansion on the EBITDA margin, but I'll let Rainer build on that. Building on dairy, it has been a really strong quarter, a very, very good first half and a continuity of very good momentum across the broad range of applications that we [ spae ] in fresh dairy and cheese. Here, we see increasing demand for the value that we bring for our customers. The pool of high- protein content, cleaner label, healthier nutrients, muscle weight, it's driving an increasing demand. And we are right there with our customers, continue to be the present and bringing those solutions now probably with an even stronger portfolio being ready and innovation is all coming in within that space. Same applies with cheese, where we see continued momentum and penetration of our DVS platform, now also even stronger with more enzymes that we can lead and help our customers for further yield improvements. Same would apply probably with bioprotection, also included within the dairy platform. When we move especially into higher proteins, goods that they are of a higher value, that also drives an intrinsic demand for -- or enhanced demand for more bioprotection because there is more value to protect on those goods. And I would like to reinforce also the growth on emerging geographies that continues to be there. Particularly in China, we see growth in a declining market. China is very small. It's less than 5% of our total sales, but it's a very good point and reflection, maybe leading to where you're going on the sustainability and the resilience of the pipeline that we're creating. We're playing locally with the local players. We're bringing regional solutions, and we see that growth not only in the second half continuing. And I mean, don't forget that we have exited a couple of countries, and that will have mainly the impact on the second half. And overall to the Food & Beverages Solutions segment, an impact of 3% for the whole year and all on the second half. But run rate, strong, continued strong pull for our solutions strong today and also through the strategic period. Rainer?
Rainer Lehmann: Yes, Soren. And on the FX, I'm glad actually you're touching it that early, so we can get that out of the way because it had quite a significant impact. As you may remember in Q1, we actually had neutral to a slight tailwind. And really, Q2 is when we experienced the weaker currencies, which just on the quarter, probably had close to 0.5 percentage point impact. On the full year, we expect this impact to be if there wouldn't have -- if it would have been in constant currencies, close to 1 percentage point. And with this, we still guide the adjusted EBITDA margin to be between 37% to 38%. So there you can see that operationally, of course, we're doing pretty well. That I would invite you, as you know, would then be the basis, as I mentioned, for the strategy period. That is the basis. And with that, basically, we are guiding at around 39% by 2030. I hope that answers it.
Soren Samsoe: Yes. Okay. So as I hear you is that you basically could have guided 40% had it not been for the currency impact, but thanks.
Ester Baiget: We live in the world that we live, and that's the guidance that we see, but the underlying quality of the business remains intact.
Operator: Our next question comes from Alex Sloane, Barclays.
Alexander Morrow Sloane: I've got two, please. Just first one on Household. At Q1, I think the message was, yes, there was some timing benefit in growth, which obviously has unwound to an extent in Q2. But the majority of growth in Q1 was being driven by emerging market penetration. Did that emerging market penetration momentum continue to the same extent in Q2? And what's the outlook on that front in the second half as you indicate developed markets perhaps normalize in that segment? And the second one, I'm just going back to the margins. I wonder if you could give any more color in terms of the scale of OpEx reinvestment that you're planning within that 39% target? And I mean, just on the FX point, thanks for clarifying that. But would you expect to reduce transactional FX sensitivity to the stronger euro with more diversified production footprint over time in the period also?
Ester Baiget: Thank you, Alex. I will let Tina bring a further call on Household Care. The short answer is yes, emerging geographies will bring -- continue to be a driver of growth, but Tina will explain you that more nicely. And then Rainer to bring the answers on margin.
Tina Sejersgaard Fano: Yes, you'll get -- yes, in a longer version from me. So overall, when we look at Household Care, we talked about in the beginning of the year that we saw -- that we expected growth to normalize. We expect overall the underlying detergent market to grow roughly 1% and we see good performance compared to that, as you can see. We expect emerging markets to continue to be a main growth driver. And that is exactly what it is we have included in the outlook. Also in terms of outlook for the full year, we are saying that Planetary Health will grow in line with group and Household Care will grow slightly less than Agriculture, Energy and Tech. And that means that we do also expect growth in the second half.
Rainer Lehmann: And then on the OpEx side. So basically, of course, we continue to invest short term also in more boots on the ground really to making sure that the organic sales growth as a solid foundation, not only within the strategy period, but also beyond. And also, we see room in the latter part of the strategy period to really open up for opportunities of a more explorative nature that I mentioned before. Of course, there is an EBITDA or sales leverage on it, right? We're not growing cost exactly on the -- as the organic sales grows, obviously. But on the other hand, we're also not aggressively pursuing that leverage. When it comes to the basically natural hedging is basically implied. Of course, our -- for example, the opening of our facility next year in the U.S. on the food side in West Allis, which we communicated last year, a big expansion that will add to the natural hedging and make us less volatile to those FX fluctuations. But again, let's make sure here that everybody is aware of that for the strategy period, of course, everything what we set out as targets is in the framework of constant currencies as basically we see them now, and they are based on the 2025 guidance. We're not going to engage and speculate how currencies are going to evolve. Of course, we are doing everything possible to increase natural hedging and also hedge currencies, but they protect only, again, only our net profit.
Operator: Our next question comes from Thomas Lind, Nordea.
Thomas Lind Petersen: Two questions also from my side. The first one is on the organic sales CAGR of 6% to 9% through 2030. So just maybe trying to clarify what is driving the higher growth rate here? As I can see from the CMD last year, you said penetration would contribute with around 1% growth. And now you're saying here 1% to 2%. So is it purely penetration? And then perhaps diving a bit deeper into the penetration, is it higher growth from emerging markets that you're expecting here? And maybe even deeper, is it higher growth from Household Care? Or how should we think about that? That's my first question. And then the second question around the 25% adjusted EBITDA margin guidance, just rounding off maybe here, Rainer, 37% to 38%. Can you help us a little bit what's driving -- what are the variables driving a 37% margin? And what would it take to reach the 38%?
Ester Baiget: Thank you, Thomas. I will elaborate the first slide -- the first question and then including the deep dives, hopefully. And then also I'll let Rainer to speak about the EBITDA for year-end. And the fact that we're maintaining the guidance including the strong headwinds that we're facing with -- from currency. And Rainer indicated it's close to one point the headwind that we're facing here. But then looking at the 6% to 9%, I'm very pleased with your question. And yes, it's growth mainly from volume, also for price. Price is going to be a driver of growth, but it's solid round growth mainly from volume. We outgrow all the markets that we play in. Typically, we're present in markets that they grow 1% to 2%, and we're talking about the 6% to 9% guidance. That means we're growing 2x, 3x, 4x sometimes the markets that we present. And we do that by being very close to our customers through innovation, through synergies, bringing new answers to their needs that biology is a stronger answer. That's true for high protein in Dairy. That's true for Cleaner labels. That's true for also for Household Care. That's true for Bioenergy, bringing new solutions, higher yield, higher efficiencies, bioprotection, creating adjacencies and expanding the pie of the space that we can supply our customers. Growth in emerging geographies is a big driver of that acceleration. But yes, now with more boots on the ground, we are even better equipped to bring that penetration and to accelerate the growth in emerging geographies. That comes with an investment, too. We see the benefit of having a powder lab in India. We see the benefit of having co-creation capabilities in Mexico, in Brazil. We see the benefit of having a Dairy lab in Singapore to play with our customers in Korea in biodiesel with actually in Singapore in Shanghai. Sorry for that. Thank you for the faces in the room. But the fact of being local and playing with our customers, we have seen double- digit growth in emerging geographies, and we're investing to continue to be that driver of growth. And Rainer, I pass it to you.
Rainer Lehmann: So basically, what would it take Thomas, it's really, I think, I have to come back to the currency, right? If currencies, of course, would turn around into a complete different space. We are right now anticipating here the current level. You know mainly it's the U.S. dollar currency. Of course, there are other ones that are attached to it. But if they -- it implies currently like [ $1.16 ], I would say, around there. If that would majorly improve, we would also -- that would trickle down to our EBITDA. As I said, that would -- since we're not hedging in that position. So the biggest impact would have currency within that range.
Operator: Next question comes from Ranulf Orr, Citi.
Ranulf Orr: Two, please. So the first one is just on the new growth projects. And I guess a lot of the gap between the midterm targets and where expectations were seems to be down to these increased investments. My question is, how do you and we get confident that you can earn a return on this? 2019 strategic growth areas were alternative proteins, oral health, contaminant removal. In 2021, it was carbon capture, nitrogen fixation, sustainable plastics. A lot of these seem to have faded out of cons or at least maybe struggled to deliver initial expectations. Now it's biopharma, which was a strategic area back in 2013, fuels and nutrition protein. So I guess sort of what's different about these ones this time? And then my second question is just around -- just on the margin guidance again for this year. If we were to strip out the positive contribution from the feed enzyme alliance, which I don't think was originally included, what would the like-for-like margin guidance have been?
Ester Baiget: Thank you, Ranulf, for your questions. Let me give a color here on the first one and then also I'll ask my colleagues also to bring in further granuality on the explorative areas. But before going there, let me ensure we explain and it's clear that the investments -- majority of the investments to continue to support growth in the core. We are a growing company, we are always going to prioritize growth above any variable. And then at the same time, it's profitable growth, expanding profitability from already very solid starting point of 37% to 38%. And those investments are going to be on continue to expand and protect what makes us unique and the preferred partner for our customers. We're going to continue to make investments on more boots on the ground. We're going to continue to make investments on more sellers, TS&D application centers apply research, having the capability to co-create and play with our customers. We're going to continue to make investments on innovation on AI on developing the claims of this double-digit growth or the areas of high growth that we see in many fast attractive segments. We're going to continue to make investments. Also, as you mentioned, in some unexplored areas. Those ones are the higher risk as you also indicated. And here, we provide a very clear, strict venture model approach. We invest with the pull from the market and we only continue to invest when we see that all the assumptions were through, not only innovation but also market readiness. Carbon capture, we're ready. We need market to pick up. We're holding investments there. Biopharma, extremely attractive place that we see the pool. And yes, we're investing because we see the growth. And I will let Henrik put a little bit color here and also speak about the spaces that from Henrik from both on Biopharma, but also on maybe on fuels, Tina that you can bring and Henrik you can talk about protein demand. So Claus, if you can start talking about Biopharma, Henrik on Health, Advanced Nutritional Proteins and Tina a little bit of color on what do we mean by advanced fuels and the fuels for the future. And then Rainer, please the question.
Claus Crone Fuglsang: Yes, sure. Don't mistake our current biopharma activities for what we did back in 15 years ago. This is not about API production or development. This is about supporting pharmaceutical or biopharmaceutical industries with, for example, enzymes to process downstream or apply it in diagnostic kits and in the discovery pipeline when developing new biopharmaceuticals. We already have sales in the area, and we are then looking into further opportunities in this space. And as Ester very rightly said, it's only a fraction of our innovation resources that we spend in these exploratory areas. So -- and we pause activities. Now Ester mentioned the example of carbon capture. We have the technology, and then we pause our activities until the market moves.
Ester Baiget: Henrik.
Henrik Joerck Nielsen:
EVP of Human Health Biosolutions and Strategy & Integration: Yes. So they are explorative of nature. And as you explained, Ester, what you maybe didn't explain is we use a high degree of partnerships, right, and co-funding in these ventures. And by the way, they also make us very attractive, right? So we have a lot of opportunities coming to us that actually end up in projects in the core. But specifically on nutrition proteins, I mean, you know protein demand is high and increasing. We see that in various parts of the business. There is an increasing demand for bulk protein, but also especially an increasing demand for functional proteins. Many of these functional proteins, there are scarce amounts out there, you could say, in nature. They're difficult to source, they're difficult to extract. Sometimes they are from human source, so it's difficult and unethical or even impossible when we get into design proteins that can be the future. This is where precision fermentation is attractive. And we are exceptionally good at precision fermentation in Novonesis. We do go for what we call the top of the pyramid, so not the bulk proteins, but the high-value functional proteins that are indeed difficult to source or expensive to source or find in nature. We talked about what we do with other food ingredients in genetic disorders as an example in this space, but there are many more things that we are doing, and we find that actually to be a very exciting space. But it's early days, and we'll see how the pipeline develops.
Tina Sejersgaard Fano: And then on future fuels and chemicals. But before I go there, for example, Ranulf, just on the biopharma, we talked about the COVID-19 test. I at least talked about it in many quarters. That's one example for this space. The other one is what we have talked about lately in Biopharma processing. So as Claus was saying, there are sales already there in the area. But then on future fuels and chemicals. Again, we have also talked a lot about sustainable aviation fuel. This is a good new development. It is an area where there are many ways to roam and many ways to future fuels and chemicals. For sure, we are very interested and very invested in the ethanol to jet pathways, but we're also operating with other ways of getting to sustainable aviation fuels. And we are looking into other ways, how is it we can get there? Where is it our solutions can do a difference. And that's one of the areas we are looking at. But it's not only fuels because it can also be in the chemical space. And overall, given our very strong footprint in the Bioenergy space and in Biorefineries more broadly, also beyond energy, that is we have the customer contact. We have the technology base. So it's a good place for us to invest further and explore what other options are there beyond our existing business.
Ester Baiget: Thank you all. And then before I pass the word to Rainer, let me repeat what it has been already said. These are explorative areas, areas that we're investing for the future, growth will come from the core. We will deliver the 6% to 9% by continue to grow in the areas that we're very strong. And then yes, we're also investing to set the ground for the long-term platforms that we'll be bringing sustained continued growth also in other areas and beyond. Rainer?
Rainer Lehmann: Yes. And to the question regarding the accretion of the acquisition of the Feed Enzyme Alliance, when we closed the transaction, we basically guided on a 12-month basis around 0.5 percentage points. So basically, if you break this down to 2025, it's around 25 basis points that we would expect there.
Operator: Our next question comes from Lars Topholm, DNB Carnegie.
Lars Topholm: Yes. Two questions from me as well. The first one, they both relate to the 2030 strategy. The first one is if you can put some words on what you see in terms of M&A over the next 4, 5 years. Is this something you plan on doing? Or is it just on an opportunistic basis and which areas would be relevant, which technologies/markets would you be focusing on? And then a second question goes to the 39% margin target by 2030. I just wonder if you can put some words on the profile of that margin expansion, particularly given that you're flagging intensified CapEx to begin with. So do you foresee a development where margins are flat to lower first and then later more significant acceleration? How should we think about that?
Ester Baiget: Thank you very much, Lars. The 6% to 9% is organic growth. It's based on who we are. It's based on continue to work, outgrow the markets that we play and continue to stay close to our customers. It's true...
Lars Topholm: EBITDA margin is just not organic growth -- it was how you get...
Ester Baiget: I understand. You make two questions, right? I was answering the first one on the M&A. I was going there and then don't worry. Rainer will answer you the question on EBITDA. You're going to get both. So on the first one, on the M&A, what I was leading in here is that growth that we bring in its organic growth on the segments that we are present today and outgrowing the markets. We are the leading biotech powerhouse in the industry. We have extraordinary capabilities and a very robust portfolio. We always seek to explore and to bring areas that could make that position stronger. It's the only thing I can tell you, it will be within the Biosolutions space. We will continue to be positioning ourselves, and that's because that's the place that we see that we generate the maximum value for our customers, being a biotech biosolutions enabler, a biotech powerhouse, providing those answers for our customers to respond their needs. So organic growth and then M&A, if it's there, we will bring it in when it is a driver of accelerated growth and value creation for the shareholders. And then Rainer, please answer the question on the path to EBITDA margin expansion from already a very strong base that we are today.
Rainer Lehmann: Yes. So basically, we're going to see this organic sales growth, of course, being profitable. And actually, the profile is pretty much balance throughout the period. Keep in mind that we're talking here about adjusted EBITDA, and therefore, the CapEx that we have in the previous years is not reflected in the EBITDA.
Operator: Next question comes from Thomas Wrigglesworth from Morgan Stanley.
Thomas P. Wrigglesworth: Two questions, if I may. The first one on the 2030 targets. You're planning, obviously, you're forecasting for a lot of organic growth. You're forecasting for a lot of pricing. I assume that organic growth will have operating leverage across your platform. And yet you're only guiding to a 39% margin. So it feels like the incremental margin of these new projects isn't quite as -- why is that so low? Normally, new product sales come at much, much higher price points and you add the operating leverage on that. So are you just being conservative? Why is that not higher? My second question is just a bit of clarity about how you see the margin evolution from the second quarter into the second half because ultimately, quite a substantial step down in 2Q versus 1Q suggests a weaker exit rate from 2Q and then which might suggest we're at the lower end of your margin range for 2025? Or do you have other levers that you're going to pull in the second half on the cost side that mean we can see some margin recovery as we go through the second half?
Ester Baiget: Thank you, Thomas. I couldn't help bringing a smile on my face when I heard you saying only 39% margin as -- which is an expansion from the base on where we're starting the strategic period, including the headwinds that we're facing from currency. So we are a growth company, Thomas, and we will always prioritize growth. We are -- and it's also profitable growth, and it's also expansion on profitability through the strategic period. And yes, we were going to continue to invest on what makes us unique. We will continue to invest to be close to our customers. We'll continue to invest on people, on resources, on capability, on developing the claims and a little bit of investment on the exploration phases only when we see the market moving in. This path, it's linear, and we're going to dose it and move formally on the trajectory of the 39% growth. And then I'm going to pass also to Rainer on bringing color on the second half.
Rainer Lehmann: Yes. Of course, we saw a drop in the adjusted EBITDA for Q2. First of all, I would not ask you to over-interpret a single quarter. Yes, there's always some timing also from expenses in this regard. And as I mentioned before, it was heavily impacted by the FX side, which will continue to -- and our guidance is implied that this effect will continue. But it also had in Q2, for example, some effect on tariffs that will recover in the second half of the year. And in order to be within the range of 37% to 38%, while still facing the significant headwinds, we actually do not have to have the margin at the same level in H2 as in H1. So I think that is important also to consider. I think that gives you enough hint where we probably think that we're going to end up on that margin range between the 37% and 38%, while still having a good exit margin.
Thomas P. Wrigglesworth: This is a quick follow-up, sorry to interrupt you. Were there any one-offs in the costs in 2Q that you can call out just the top line was fine, but it just seems that the costs were a little higher than I was anticipating.
Rainer Lehmann: Yes. And it's probably a bit more timing between Q1 and Q2, Q1 was really strong and probably some timing between the quarters. So I really encourage always looking at half year and actually our cumulative figures.
Operator: Our next question comes from Nicola Tang, BNP Paribas.
Nicola Tang: The first was on top line trends for the second half of the year and as we go into 2026. Aside from the normalization in Household Care that you're referring to, are there any markets where you're seeing a bit of a sequential slowdown? I noticed you talked about beverages. What exactly was driving that? And I think you also mentioned sort of timing in bioprocessing. So thinking about the second half of the year, what are the kind of moving parts to be aware of other than the stuff we've already talked about? And into 2026 as well, obviously, it's early days for sure, but you will be facing tough comps after a strong performance this year. So how are you thinking about the growth for '26? Should we expect it to be towards the lower end of this midterm range you're talking about? What are the key drivers? And then the second, you talked a lot about OpEx investment, but could you talk a little bit more about the CapEx step-up? Could you give a bit more detail around the areas of investment, how much is going into ERP? And around new capacities, Anders, I think you talked a bit about sort of trying to sticking to existing geographies. Do you feel like you have a sufficient footprint to serve the emerging market growth that you expect to see over this midterm strategic period and still keep your local-for-local business model? Or could we see actually quite a big step-up in terms of sort of capacity investments within that CapEx spend?
Ester Baiget: Thank you, Nicola. I love it when you implicitly bring the answer in the question that you bring in. We see a strong demand across for our solutions across a broad range of segments. We continue to see strong demand in Dairy for high-protein solutions for penetration in cheese. So pull that from the solutions now with even stronger portfolio that we bring in on productivity and yield improvements. Continue to see, as you mentioned, also demand growth on Bioprotection. Same for baking and demand and the penetration of our solutions for leading to lower sugar added and lower salt and higher yields and extended shelf life, Bioenergy, continued strong demand. And then, yes, Household Care slowdown on the second half that we said it would come, and we see the signs of it. And yes, as you also mentioned, beverages, a slowdown, which is mainly driven by softer demand in the industry for consumer reducing the consumption of alcoholic beverages or brewing in particularly. We -- that puts us in an end of the good place for the second half, also taking consideration the stronger comps and the impact of the exit from certain countries that would mainly only have an impact for -- particularly in Food & Beverages and Health only in the second half. We are in a good place. We feel very comfortable on where we are. And also, we are a very good place for the guidance that we put for the 2030 year period, and that's the one that we're putting in place, and we will have time to talk about 2026 when we're getting there. Then I would let it to Anders to build on color on CapEx, please.
Anders Lund: Yes. So in the early part of the strategy period, we expect to build more capacity to cater for the accelerated growth and, of course, also to deliver resilience in our footprint. There's a big difference in Novonesis, whether we are growing sort of mid-single digit where we have the opportunity to almost offset CapEx by optimization. And if we are growing 9%, we simply have to have higher CapEx level, and that's what we're building in the early parts of the strategy period.
Operator: Our next question comes from Chetan Udeshi, JPMorgan.
Chetan Udeshi: The first one is quite simple, straightforward. Your H2 guidance is implying something around 5% organic growth for H2 as a whole. From what you know today, do you have in mind any phasing between Q3 and Q4 that we should keep in mind? Or do you think it should be broadly close to that number in both those quarters? That's one. Second question, and thanks for bringing the ROIC as part of your key KPIs. Clearly, we missed it post the merger. So good to see that coming through. I was actually a bit surprised with the ROIC being as high as 16% in your guidance, especially given that you are guiding to CapEx also going up in the next 3 years. So maybe if you can talk about what is driving that ROIC expansion? I know you talked about the key movers, but we also have the CapEx going up at the same time. So how much working capital can you actually reduce within that number because it just feels a bit more counterintuitive with the CapEx also going up so much that ROIC is increasing so much and maybe just an additional point, and apologies if you've done this somewhere because I haven't actually seen any formal definition of what is your ROIC calculation. So if you can just remind us how you actually even calculate it, that would be good.
Ester Baiget: Very, very, very fair question Chetan. So for sure, no need for apologies. I will let Rainer answer both.
Rainer Lehmann: So first one regarding the guidance, you're absolutely correct. Of course, our narrowing the range implies actually an H2 organic sales growth of around the 5% that you said, 4% to 5%. We will not give actually -- we're not guiding any quarters. So this is actually specifically these times. We are refrain from that. We guide year-end numbers and when we leave the rest up to you guys also to judge this. When it comes to ROIC, and I'm actually happy that you mention it here because let me comment, first of all, the 2024, let me first see how do we calculate what's the definition? It's fairly straight forward. We take an adjusted net operating profit after tax, which is basically adjusted EBIT and then deduct the normalized taxes and then you come to that net operating profit after tax, which is adjusted. And then on the invested capital, it's actually also a number that we showed in the annual report also in 2024. Here, though, why is it the 8%? Let me comment on that proactively. Keep in mind, and I pointed out in my commentary earlier that this is heavily impacted by the purchase price allocation. What do I mean by that? We have, due to the combination, a significant step-up of all of the assets that we acquired from Chr. Hansen, that it be production assets or also customer as well as intangibles. So that significant step-up just that you have idea roughly how much that is, and you can actually see that when you look at the purchase price allocation even in our annual report, is around DKK 3.2 billion. But of course, we include exactly and take our numbers from the balance sheet. Therefore, we are showing a ROIC of 8% -- would you just do, let's say, part of the sum ROIC without, let's say, with neglecting all of the accounting adjustments, we actually would be there 20%, right? We're not going to adjust for that number, but just give you -- I think it's important to understand where we really are. What is the driver? And now coming from the balance sheet item and invested capital, if you roughly see it's DKK 12.6 billion on the balance sheet. Keep in mind that despite this strong CapEx that you absolutely say is counterintuitive, we also have quite a substantial reduction of the invested capital due to the depreciation and amortization of our assets that come from the PPA. There's roughly EUR 350 million a year. So therefore, I also pointed out the majority really of the improvement is due to the increase in profitability and of course, then also a component on the net working capital, but the majority lever is really the increase in profitability. I hope that explains it. Unfortunately, it gets a bit technical with all of these adjustments, IFRS, but I hope it answered your question.
Operator: Our next question comes from Georgina Fraser, Goldman Sachs.
Georgina Fraser: I've got two questions left. The first one is you mentioned something about absorbing a tariff impact in the first half. And I think that you previously guided for tariffs to be neutral on a full year basis. So just to clarify that. And then if you can talk about what exactly are these tariff impacts that you're seeing? And then second question, on the midterm CapEx guidance, is the right way to think about it 10% to 12% of sales to 2028 and then high single digit thereafter? And if you can remind us about the timing and the size of the CapEx that you need to deploy for the in- housing of the HMO production. I think when Chr. Hansen guided to it previously, it was about EUR 200 million. I just wanted to check I've been thinking about that correctly.
Ester Baiget: Thank you, Georgina. I will pass the word to Rainer and answer the last question of the call before we close the call today.
Rainer Lehmann: Tariff impact, you're absolutely right. We guide that on the full year basis, and there, we expect it to be neutral to our profitability. But of course, these things face, right? I mean, you first get the charge you have to pay the tariffs. And then we also recover them through two options. Once we're optimizing our supply chain, of course, which we have the ability due to our resilient production network, but also, of course, by passing along the expenses to our customers. And regarding the CapEx, there, we basically -- you see, I said a little step up towards above 2025. Right now, we're guiding 10% to 12%, take the midpoint for 2025, do a step up for probably the next 2 years and then actually for a model assumption, take a linear approach down to high single digit, you would be pretty -- on a pretty good track.
Operator: Thank you very much. And with that, we are closing the call today, looking forward for spending time with many of you during the forthcoming days. Thank you for the day. Bye.